Operator: Good day, everyone and welcome to VeriSign's Third Quarter 2017 Earnings Call. Today's conference is being recorded, and unauthorized recording of this call is not permitted. At this time, I would like to turn the conference over to Mr. David Atchley, Vice President of Investor Relations and Corporate Treasurer. Please go ahead, sir.
David Atchley: Thank you, operator, and good afternoon, everyone. Welcome to VeriSign's third quarter 2017 earnings call. With me are Jim Bidzos, Executive Chairman, President and CEO; Todd Strubbe, Executive Vice President and COO; and George Kilguss, Executive Vice President and CFO. This call and our presentation are being webcast from the Investor Relations section of our verisign.com website. There, you will also find our third quarter 2017 earnings release. At the end of this call, the presentation will be available on that site. And within a few hours, the replay of the call will be posted. Financial results in our earnings release are unaudited and our remarks include forward-looking statements that are subject to the risks and uncertainties that we discuss in detail in our documents filed with the SEC, specifically, the most recent reports on Forms 10-K and 10-Q, which identify risk factors that could cause actual results to differ materially from those contained in the forward-looking statements. VeriSign retains its longstanding policy not to comment on financial performance or guidance during the quarter, unless it is done through a public disclosure. The financial results in today's call and the matters we will be discussing today include GAAP and non-GAAP measures used by VeriSign. GAAP to non-GAAP reconciliation information is appended to our earnings release and slide presentation, as applicable, each of which can be found on the Investor Relations section of our website. In a moment, Jim and George will provide some prepared remarks, and afterward, we will open the call for your questions. With that, I would like to turn the call over to Jim.
James Bidzos: Thanks, David, and good afternoon, everyone. I am pleased to report another solid quarter for VeriSign. Third quarter results are in line with our objectives of offering security and stability to our customers, while generating profitable growth and providing long-term value to our shareholders. We reported revenue of $292 million, up 1.7% year-over-year, and delivered strong financial performance, including non-GAAP EPS of $1 and $153 million in free cash flow. During the third quarter, we continued our share repurchase program by repurchasing 1.5 million shares for $147 million. Our financial position is strong, with $2.4 billion in cash, cash equivalents and marketable securities at the end of the quarter. We continually evaluate the overall cash and investing needs of the business and consider the best uses for our cash, including potential share repurchases. At the end of September, the domain name base in .com and .net totaled 145.8 million, consisting of 130.8 million names for .com and 15 million names for .net. The domain name base increased by 1.47 million net names during the third quarter after processing 8.9 million new gross registrations. Gross additions during the quarter benefited from continued strength from US based registrars. Although renewal rates are not fully measurable until 45 days after the end of the quarter, we believe that the renewal rate for the third quarter of 2017 will be 74.3%. This preliminary rate compares to 73.0% achieved in the third quarter of 2016. We expected increase to the domain name base during the fourth quarter of between 0.4 million to 0.9 million registrations, which is consistent with the full year 2017 domain name base growth rate of 2.8% to 3.1%. And now, I'd like to turn the call over to George.
George Kilguss: Thank you, Jim. Revenue for the third quarter totaled $292 million, up 1.7% year-over-year and up by 1.3% sequentially. During the quarter, 59% of our revenue was from customers in the United States and 41% was from foreign customers. As it relates to our GAAP results, operating income in the third quarter totaled $181 million, compared with $175 million in the third quarter of 2016. The operating margin in the quarter came to 61.9% compared to 60.8% in the same quarter a year ago. Net income totaled $115 million compared to $114 million a year earlier, which produced diluted earnings per share of $0.93 in the third quarter this year compared to $0.90 for the third quarter last year. As of September 30, 2017, the company maintained total assets of $2.9 billion and total liabilities of $4.1 billion. Assets included $2.4 billion of cash, cash equivalents and marketable securities, of which $757 million were held domestically with the remainder held abroad. I'll now review some additional third quarter financial metrics, which include non-GAAP operating margin, non-GAAP earnings per share, operating cash flow and free cash flow. I will then discuss our 2017 full-year guidance. As it relates to non-GAAP metrics, third quarter operating expense, which excludes $14 million in stock-based compensation totaled $97 million, as compared to $100 million both last quarter and the same quarter a year ago. While non-GAAP operating expenses were lower in the second quarter, we do expect an increase in sales and marketing spending in the fourth quarter. Non-GAAP operating margin for the third quarter was 66.7% compared to 65.3% in the same quarter of 2016. Non-GAAP net income for the third quarter was $124 million, resulting in non-GAAP diluted earnings per share of $1 based on a weighted average diluted share count of 124.1 million shares. This compares to $0.93 in the third quarter of 2016 and $1.05 last quarter, based on 127.7 million and 124.0 million weighted average diluted shares respectively. Operating cash flow for the third quarter was $175 million and free cash flow was $153 million, compared with $171 million and $165 million respectively for the third quarter last year. Free cash flow in the third quarter was lower, partially due to a timing some capital expenditures. Dilution related to convertible debentures was 24 million shares, based on average share price during the third quarter, compared with 20.8 million for the same quarter of 2016 and 22.5 million shares last quarter. The share count was reduced by the full effect of second quarter 2017 repurchase activity and the weighted effect of the 1.5 million shares repurchased during the third quarter. With respect to full year 2017 guidance, revenue for 2017 is now expected to be in the range of $1.161 billion to $1.166 billion, increased and narrowed from the $1.155 billion to $1.165 billion range provided on our prior earnings call. Full year 2017 non-GAAP operating margin is now expected to be between 65% and 65.5% increased and now from the 64.5% to 65.25% range provided on our prior earnings call. Our non-GAAP interest expense and non-GAAP non-operating income net is still expected to be an expense of between $103 million and $110 million. Capital expenditures for the year are now expected to be between $45 million and $55 million, changed from the $40 million to $50 million range provided on the last call. And cash taxes for the year are still expected to be between $20 million and $30 million. The majority of expected cash taxes in 2017 are foreign, primarily because of domestic tax attributes, including cash tax benefits from our convertible debentures. As we said in prior calls, these convertible debentures are an important part of our capital structure, and our intention based on current conditions is not to redeem these debentures, which will allow the cash tax benefits to continue to accrue. In summary, the company continues to demonstrate sound financial performance during the third quarter of 2017. Now, I will turn the call back to Jim for his closing remarks.
James Bidzos: Thank you, George. In closing, during the third quarter we continued our work to protect, grow and manage the business, while continuing our focus on providing long-term value to our shareholders. We think our focus on profitable growth and disciplined execution will extend the long trend lines of growth in our top and bottom line and allow us to continue our consistent track record of generating and returning value to our shareholders in the most efficient manner. We will now take your questions. So operator, we're ready for the first question.
Operator: Thank you. [Operator Instructions] And we will go to Rob Oliver, Baird.
Matt Lemenager: Hi. Thanks, guys. It's Matt Lemenager on for Rob this afternoon. Can you give us any update on the web civil investigative demand? I think we talked about a couple of quarters ago, is there any update on that process or how that's setting [ph]?
James Bidzos: The update is really the same, there's no new news, although there is activity, the process is ongoing. We are continuing to cooperate with the Justice Department regarding the CID that you asked about. There's an ongoing constructive dialogue. We're producing documents and information. But beyond that there's nothing new to say at this point. Of course, as soon as there is we'll let you know.
Matt Lemenager: Got it. And my next question is just, do you have any thought on - I think about speculators or squatters, as we think about the arising with things like bitcoin and the theorem and things like that. Is there any - have you guys seen the impact of people who maybe before would have been coming and buying domain. Just curious to get your thoughts on kind of the impact of bitcoin and other things like that that people may be out purchasing?
James Bidzos: I don't know of any direct relationship between people purchasing bitcoin and domain names. I can tell you that we do - we do report on trends in domain name registration and bitcoin trends frequently, consistently and often. So people are registering names related to bitcoin and cryptocurrency and those types of things. So we do see those, and we do report those registration trends. Beyond that, I don't think there's any unusual activity that we have to report.
Matt Lemenager: Got it. Thanks, guys. I'll jump back in queue.
James Bidzos: Thank you.
Operator: Thank you. Mr. Atchley, I'll turn things over to you for any final comments.
David Atchley: Great. Thank you, operator. Please call the Investor Relations department with any follow up questions from this call. Thank you for your participation. This concludes our call. Have a good evening.